Operator: Ladies and gentlemen, thank you for standing by. And welcome to the CGG’s Third Quarter 2020 Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday 05 of November 2020. I would like to hand the conference over to your speaker today of CCG. Thank you. Have a great [Indiscernible].
Christophe Barnini: Thank you. Thank you good morning, ladies and gentlemen. Welcome to this presentation of CGG’s third quarter 2020 results. The call today is hosted from Paris [Ph] with Sophie Zurquiyah, our Chief Executive Officer and Mr. Yuri Baidoukov, the Group's Chief Financial Officer will provide an overview of the third quarter of 2020 results, as well as provide comments on our outlook. As a reminder, some of the information contains forward-looking statements including without limitation, statements about CGG plans, strategies, and prospects. These forward-looking statements are subject to risk and uncertainties that may change at any time, and therefore the actual results may differ materially from those that were expected. Following the overview of the quarter we will be pleased to take your question. And now I will turn the call over to Sophie.
Sophie Zurquiyah-Rousset: Thank you, Christophe, and good morning ladies and gentlemen. And thank you for participating in this Q3 2020 conference call. Our presentation will cover our third quarter 2020 operational and financial results. And I would like to start with a quick update on COVID-19. Our focus has been on maintaining business continuity, and we are fortunate that through our IT expertise, combined with the CGG HPC cloud that supports our geoscience business, most of our employees have been able to work effectively from home. Over the last few months, we have progressively brought back staff into the office and overall, we've had a very limited number of confirmed COVID-19 cases. We've had no fatality. And in addition, there has been no cross contamination at our sites thanks to strict social distancing, wearing of mask and the overall protocols that we put in place. With this, along with the strong business continuity to reduce signs and multiclient business, our manufacturing sites have in general been able to maintain production and meet client demand. Moving on to slide four, looking at the market in Q3 crude oil prices stabilized, but the COVID-19 pandemic is so dramatically affecting global economies and severely suppressing our business environment. In 2020, we have seen some major strategic shifts from the integrated oil companies, especially in Europe, making firm commitments to decarbonize portfolio, increased renewable power generation, de-gear [ph] your balance sheets and support dividend commitments. Yet, most analyst reports project oil and gas as a fundamental source of energy through the energy transition, and for a long time to come. As the required investments to maintain productions are delayed, this will eventually create an unbalance that will need to be addressed. During Q3 2020, CGG markets stabilized, however visibility remains low with the second wave of lockdowns in Europe, and the evolving geopolitical landscape in the U.S. We will monitor the situation closely and assess the implications. But at this stage, I do not see clients making additional CapEx cuts. Geoscience and multiclient markets are mainly driven by the large independents and NOCs, which have remained focused on their core business of producing oil and gas. IOCs are largely still reorganizing, cutting headcount and right now in their 2021 budgeting process. Expect commercial activity would then remain low through November. However, they should still be some year-end budgets available for data and software purchases. In general, as I expected, as expressed clearly by our clients, they are retrenching in their core areas, and they're prioritizing CapEx to the low risk, highest return project. In this environment our Geoscience Imaging Technology plays a key role as it is enables our clients to make surgical choices to sign a CapEx. Reprocessing in particular is a cost effective alternative to new data acquisition, and we have seen the balance between processing and reprocessing shift towards reprocessing. Our equipment business is also benefiting from NOCs, sustained activity in land in North Africa, Middle East, Russia and India. And more recently in October, two of the three land 3D mega-crews in Saudi, and one land 2D crew have been awarded to geophysical contractors. CGGs strategic rationale remains strong. Our three differentiated businesses are well positioned with the best technology and increasingly working together to best serve our clients and to develop unique solutions. In parallel, CGG is reducing cost and quickly adapting to our clients new activity levels, while preserving our differentiated capabilities as activity is resuming. In addition, we continue to advance our new initiatives focused on leveraging our core capabilities in new step up market and following our clients in support of the energy transition. Moving on to slide six, overall, Q3 was similar to Q2. Our Q2 revenue of $199 million was sequentially stable with GGR $150 million driven by increased multi-client revenues and equipment at $50 million. Grip Adjusted Segment EBITDA before $28 million non-recurring severance costs was $18 [ph] million up 6% sequentially, and with a 40% margin. Group adjusted segment operating income before $13 million non-recurring charges was negative $4 million not far from breakeven and slightly better than our Q2 adjusted segment operating income. Ahead of increasing Q4 sales, especially in equipment, our change in working capital was especially high at minus $37 million as we started to ramp up inventory of land products. CGG also consumed this quarter $26 million of exceptional cash costs related to our saving plan, essentially severances after the $37 million of negative change in working cap and $26 million of non-recurring charges, the net cash flow this quarter was negative $92 million. This puts our liquidity at $465 million at the end of September, which allows us to operate comfortably. I will now cover our Q3 2020 operations by reporting segment. On slide seven, overall GGR top line increased sequentially 4% to $150 million with the unadjusted EBITDA margin of 57%. For the first nine months of the year, our year-on-your revenue drop of 28% is consistent with our clients overall E&P CapEx reduction. While CGG has an important role to play in exploration, the majority of our work comes from development and production activities. OPINC before non-recurring charges was positive at $10 million up 7% sequentially. Moving onto Geoscience with the slide eight, geoscience total production was $111 million in Q3 sequentially stable with higher internal production for our multi-client projects. Business remains solid in Europe, Africa and Middle East and Latin America. Commercial activity rebounded in Q3, after a very low Q2 and backlog only decreased by $10 million this quarter to $204 million at the end of September. We have been awarded several significant contracts in October, resulting in an increase in geoscience backlog. We are introducing a new quarterly KPI dedicated to our geoscience personnel, which we believe is relevant. Compute power, which we reported earlier is an enabler, but the unique profile of people at CGG makes the difference. The geoscience division at the end of September was around 1900 employees, 15% are dedicated to R&D and 55% to production, which is essentially the data processing people. 27% of our production and R&D employees have a PhD. Now on to the operational highlights with slide nine. Geoscience activity remain resilient in Q3 driven by sustained activity in both our large imaging centers and dedicated centers, which offset reduced activity in our smaller processing centers regionally. Our GeoSoftware business was successful in retaining maintenance revenue, which also supported our performance. Q3 total production was down 13% year-on-year and 2% sequentially. The business continued to have our geoscience division has been excellent, all projects throughout the pandemic were delivered on time with excellent quality. Cash preservation and profitability has been and continues to be the key focus. Goescience has been able to quickly adapt low demand, and we continue to reduce costs as required. CGGs geoscience leading technology continues to be recognized by our key clients, and we are consistently rated number one in their supplier evaluations. We continue to see demand for high end services that solve complex problems in difficult subsurface environments. On slide 10, as of recently, and in order to provide more visibility and clarity into our geoscience business, we have been increasingly sharing publicly via press releases, our technology innovations and commercial achievements. Our technology advances are impressive and clients rely on us to resolve some of their complex challenges. Recent commercial awards range from a geothermal resources study for major client and several high end reprocessing projects to cloud computing, software and data management. We will continue to update you in the future. Let's move on to Multi-Client with a slide 11. In the last few years, multi-client made a conscious effort to increase focus in development and production areas and use much more corrosion in frontier basins as they were believed to be less robust. This was a very successful and timely decision. Our multi-client library today is very well positioned in proven, developing and mature sedimentary basins. These unique positions in key basins globally provide us with visibility and opportunity in Brazil and Norway for 2021. We have opportunities to extend our footprint and reprocess our data by leveraging advances in technology. In Q3, multi-client revenue increased 20% sequentially driven by solely pre-funding and increased after sales. Pre-funding revenue was $39 million in Q3, a 68% pre-funding rate, after sales increased sequentially to $34 million driven by Brazil and Gulf of Mexico. On slide 12, in multi-client, we also saw excellent continuity. Despite COVID-19, all of our operations in several countries progress uninterrupted. We had five multi-client projects in acquisition during the quarter, including the central basin platform, the land survey that was completed this quarter. Along with this, we also had four well pre funded multi-client programs offshore; Nebula in Brazil, a 17,700 square kilometres program in the Santos Basin, which is attracting a high level of interest from clients. We announced last week phase two. Phase two will cover approximately 10,000 square kilometers on the northern side of the survey area. CGGs industry leading subsurface imaging center in Rio de Janeiro will employ state-of-the art processing technology to eliminate the pre-sourced events. This quarter we also completed the 8700 square kilometre Gippsland program in the material producing base in offshore Australia. The third program is an ocean bottom node survey in the cornerstone area of the U.K. North Sea that we are acquiring in partnership with Max size. And finally, we extended our North Viking Graben data library in Norway and validated the value of the second estimate in that area. Looking at the rest of the year, we expect 2020 multi-client cash CapEx of around $225 million with a solid pre-funding rate of more than 75%. Now to slide 13. In addition, we also commenced this quarter multiple reprocessing projects. The first is the reprocessing of our multi-client stack size marine survey in Gabon. The first phase of this re-imaging project is bringing new light to the data and major improvements in key areas. Clients are very interested in this as it has the potential to substantially derisk this prolific area. We also launched our Walker Ridge program, a reprocessing program in the central Gulf covering 300 OCS blocks which is around 7000 square kilometers. And that's what's shown on the slide. And it's leveraging all of our existing data sets and the latest technology. Several clients already joined the project given the attractiveness of the area. And in general, for reprocessing projects, we look for opportunities where we can create significant uplift by new technologies and bring to the market more cost effective and quicker alternatives that new acquisition. With our unique processing technology, we can extend the life of multi-client data sets by rejuvenating legacy fully depreciated data. On that picture, you can clearly see the improved definition of the structures below the salt on images, as well as the continuity of the layers that were impossible to see before. Moving on to equipment now, with the slide 14, our business in equipment continued to be supported by the large installed base that we have inland and marine, and in particular by NOCs that have continued with the land exploration and development project. This quarter equipment segment revenue was done 14% quarter-to-quarter at $50 million, due to the continued reduced demand for land equipment and the general lumpiness of sales in equipment, the very weak marine mark with pit and delays in some deliveries due to the pandemic situation in different countries. Marine equipment sales remain at the lowest level as the total market fleet has been reduced to 14 3D vessels and geophysical contractors continue to try and extend the use of the existing streamers past the typical lifespan. At this time, half of the active 3D fleet is equipped with their cell equipment. Equipment segment, EBITDA was at breakeven, which shows our ability to adapt our structure to the market cycles. Moving on to slide 15, during the quarter equipment delivered over 50,000 508 X-Tech channels, mainly to India and Russia. Sercel also delivered its first node land WiNG system in North America, which is very positive news, demonstrating that we have a competitive land node product. After the award of the seismic crews in Saudi Arabia, we're in advanced discussions with the geophysical companies and are encouraged by the potential outcome. Demand for marine equipment both streamers and nodes, is expected to remain low throughout 2020 and into 2021 as geophysical contractors staff move vessels and try to reuse all streamers and extend their life as long as physically possible. In this context, due to the downturn in oil and gas industry triggered by the COVID-19 pandemic, CGG and Shearwater have jointly agreed to suspend negotiations around treating marine stream equipment JV until visibility in the streamer replacement cycle improves. We are committed to continuing our mutually beneficial cooperation. In our non-oil and gas segment, we had a successful joint test with our partner for Sercels new structural health monitoring node prototype, designed for the growing high end infrastructure monitoring market and we're now preparing for the commercial launch. I will now give the floor to Yuri for more financial highlights.
Yuri Baidoukov: Thank you, Sophie. Good morning ladies and gentlemen. Looking at Consolidated P&L for the third quarter of 2020 on slide 17, our segments revenue from new profile amounted to $199 million stable quarter-on-quarter.  GGR contribution was $550 million, a 4% increase quarter-on-quarter with 75% weight. Geoscience revenue was $77 million a 7% increase quarter-on-quarter; and Multi-client sales were at $73 million, increasing 18% sequentially on higher after sales. Equipment revenue contribution was $50 million, down 14% quarter-on-quarter with 25% weight. Segment EBITDA was $52 million, down from $68 million in the second quartger of 2020. Adjusted segment EBITDA was $18 million before $28 million of severance cash cost with 40% and up 6% sequentially. Segment operating income was negative $38 million up from negative to $53 million last quarter. Adjusted segment operating income was negative $4 million before $34 million of non-recurring charges up from negative $5 million in the second quarter. IFRS 15 adjusted adjustments at operating income level was negative $5 million and IFRS operating income after this IFRS 15 adjustments was negative $43 million. Cost of financial depth was $34 million, including a non-cash peak component of $12 million. Net loss from continuing operations was $88 million and adjusted net loss from continuing operations was $47 million before $41 million of non-recurring charges. Net loss from discontinued operations was $5 million and group net loss was $93 million. Moving to slide 18 in Q3 2020, segment operating cash flow was negative $12 million, including a significant negative change in working capital of 37 million on increased equipment inventories for upcoming fire sales in Q4 and fire multi-client sales in September. Segment operating cash flow also included $7 million of eight severance cost. Our multi-client cash CapEx of $58 million was down 20% quarter-on-quarter and was pre-funded at 68% on the back of solid portfolio of on-going well pre-funded projects. Industrial cash CapEx and R&D costs in our geoscience and equipment businesses were stable at $13 million. Q3 segments free cash flow, including $37 million significant negative change in working capital and non-recurring severance costs was negative at $59 million this quarter. Q3 cash cost of debt was $7 million and Q3 net cash flow from discontinued operations was positive $8 million this quarter. Q3 cash costs related to the implementation of CGG 2021 plan, worth $19 million and cash flows related to new severance worth $7 million. Overall, net cash flow this quarter was negative of $492 million. Looking at our group balance sheet and capital structure on slide 19, our liquidity decreased to $465 million at the end of September 2020 and remains solid. Following the exit from acquisition business CGG with this new asset like profile has lower capital intensity. With no debt maturities before 2023 and $150 million required to run the business, our current liquidity levels allow us to securely navigate through the current market environment. At the end of September 2020, our gross debt was at $1,374, million or $1, 213 million before IFRS16 with the following breakdown. $628 million firstly in USD and euro bonds due in 2023, $559 million secondly in USD and euro bonds, during 2024 $26 million other items mainly accrued interest and $161 million lease liabilities, including $41 million of [Indiscernible] financial lease and $120 million of operating leases under IFRS16. Looking at our financial leverage ratios at the end of September 2020, net debt to shareholder equity was at 75% and segment leverage before IFRS16 was at 1.9 times net debt to last 12-months EBITDA. At the end of September 2020, our capital employed was a $2.17 billion down from $2.3 billion at the end of 2019. Networking capital after IFRS15 was up at $168 million. Goodwill was down at $1.18 billion responding to 54% of total capital employed. Multi-client Library net book value after IFRS15 was it $499 million, including $416 million of marine and $84 million of land net book value. Other assets worth $472 million, including $279 million of property, plant and equipment down from three hundred million at year end and $167 million of IFRS16 right of use assets, of which $41 million related to lease $156 million of other intangible assets stable year-on-year and $37 million of other non-current assets, up $7 million from 2019 year-end, mostly from Shearwater vendor note of $19 million. Other non-current liabilities were at $144 million, including $93 million of non-current portion of liabilities related to capacity agreement with Shearwater split between $45 million related to off-market components and $48 million to idle vessel compensation. Shareholder’s equity was at $1.26 billion, including $41 million of minority interest mainly related to JunFeng JV. Moving to slide 20. We continue to operate in uncertain times and turbulent environment. This is why we stay focused on what we can control by significantly reducing our cash costs and CapEx continuing to generate cash from operations and preserving our liquidity. Our CapEx guidance remains unchanged, as was communicated back in May, we're also well on track with our cash cost reductions, mainly coming from adjustments to our headcount across the world, with over a couple of them implemented by them [Indiscernible]. Now I hand the floor back to Sophie for her concluding remarks.
Sophie Zurquiyah-Rousset: Thank you, Yuri. I'd like to reiterate that in Q3, we saw the CGG market stabilize. Barring any new volatility from the U.S. political backdrop and lockdowns in Europe, CGGs revenue appears to have reached the bottom. At current, we also anticipate a typical seasonality pattern in Q4, with higher multi-client sales and increasing equipment deliveries. During the first nine months of 2020, we have been able to maintain or increase our market share in our core businesses, thanks to our unique technology which remains key to our client for improving their understanding of the subsurface and supporting the prioritization of their energy investments. A technology which is essential for step out exploration, development and production, combined with our focus on mature basins provide CGG with a unique value proposition to our client. We are progressing well in the development of new offerings in adjacent fields, including structural health monitoring, carbon capture, sequestration and storage, geothermal and environmental geoscience. I'd like to conclude by confirming that while we are preserving our ability to capture the market recovery, and achieve stronger financial performance in 2021, we are well on track with the implementation of the cost reductions that are required to line CGG with a rebased level of activity in the industry, and to protect our cash going forward. Thank you very much. And we're now ready for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Nick Konstantakis from Exane. Please ask your question.
Nick Konstantakis: Good morning, guys, and thanks for taking my questions. One for Yuri to start with. I mean, you have a decent amount of cash on the balance sheet. Are there only options you have around your debt to retire any part of it? And are you considering any other uses for this cash? And then I guess related to that, what are your current thinking around refinancing? What are the conditions you're seeing in the market right now? Appreciate we're coming out of a very difficult period. So any color will be appreciated. And then at one for, Sophie, you follow your client results quite closely. You speak to them every day. It seems to be the refocus towards more mature basins and less than frontier plays well, with the repositioning you guys have done. Appreciate quite early to ask this. But when you think about a few years out, what do you think would be a good run rate might decline sales when you think about the mix of the business going forward? Thank you.
Sophie Zurquiyah-Rousset: Okay. Thank you. Yuri let's start.
Yuri Baidoukov: Good morning, Nick, and thank you for your questions. You're absolutely right about our level of liquidity. Unfortunately, with the current covenants package that we have around the first time the second lien bonds. And to remind you the current capital structure, of course, was the result of CGG exiting from bankruptcy and restructuring in February 2018. So this covenants prevent that from extinguishing the -- or at least trying to reduce the second lien bond, which is the most expensive with this big component of 8.5%. This is yet another reason, another driver for us to refinance both the first time and secondly in blondes in the near future. Now, there is one element in relation to the second lien bonds, and this is the core premium of 12.5%, which drops to zero in February of next year. So that results in significant reduction in cash that we will need to pay upfront. And with that, our objective remains the same, it remains unchanged. So we are working on preparing for potential refinancing of both the first and the second lien bonds as early as much next year. And that work includes ensuring that we'll be in a position to not only publish our annual results, but also publish our URG or annual reports at the same time. And in this refinancing exercise, or another objective, of course will be to move to the normal covenants package, and no longer have restrictions similar to what we have currently, unfortunately. Now, that being said, of course, this will depend on the market environment early next year. Now, if we look at our Firstly, in bonds, as they're trading today, they, they have been stable at a slightly above par, which is a good indicator that in the current environment we should be -- even in the current environment, we should be able to tap into the markets. But again, we'll wait until March because of this $67 million to $16 million of core premium associated with the second lien bonds, which will become zero in February of next year. And I will pass it now to Sophie, to answer your second question.
Sophie Zurquiyah-Rousset: Yes. Thank you. Hi, Mike. So multi-client revenue is a mix. I mean, you have to understand where the revenue comes from to be able to respond to your questions. So there are two revenue streams. One is the pre-funding, which is highly correlated to the CapEx. And then the other one is the after sales, which is selling the data that we have on the shelf. So obviously, that revenue stream if you look at CGG past revenue was almost equivalent between the pre-funding and the after sales. And again that pre-funding was linked to the investment that we were making. So I think the future - so that's one point. So the revenue that will make will depend on our ability to invest or our willingness to invest and our ability to find good projects. And then the other element that you have to consider is the appetite from the other players in the market and the relative market shares that CGG will have in the future. If you look at what's happened more recently, we've increased our market share a bit naturally with the fact that we've invested less in those frontier areas. So the market, the total market for multi-client was around $2 billion to $2.5 billion, pre-COVID-19. And that market is reduced by around, let's say, 30%. So somewhat in line with the exploration and production CapEx. I would think that typically, as things improve, we see a recovery first in the in the after sales. And if you look longer term, my ambition was certainly to bring back the multi-client revenue closer to where we were, which is around that $500 million mark, with all the caveats that explained that it depends on the CapEx, it depends as well on what other players will do. Does that answer your question?
Nick Konstantakis: Yes, exactly. I was going for the late sales. Thank you.
Operator: Okay. Thank you. And your next question comes from the line of Kevin Roger from Kepler. Please ask your question.
Kevin Roger: Yes. Good morning. Thanks for taking my question. I thought you're doing well. The first question would be related to the movements in the working Cap that you faced this quarter. So you mentioned that this is basically related to future equipment sales. I was wondering if you can precise us the environment around those sales? And let's say that is it related to the Saudi Aramco mega-crews that you were expecting? It means that you will have deliveries in Q4 and that -- based on that what will be the impact on your Q4 sales? So you can precise your environmental movements in working cap? And the second question is more broadly, Sophie seems that based on the comment that you did during the presentation. It seems that maybe Q3 was like the low point in terms of revenues and margin, because you seem to expect, if I well understand, the kind of improvements in the coming quarter. Can you maybe give us a bit more information in terms of dynamic that you expect in terms of top line and margin, let's say, for the next maybe two to three quarters in terms of dynamics? please.
Sophie Zurquiyah-Rousset: Thank you, Kevin Roger. First on the on the equipment sales in Q4. Typically in equipment we build based on a manufacturing plan, because the clients come in and expect deliveries within three months, typically three to four months, where the manufacturing cycle is longer than that. It is somewhere around nine months. So we cannot wait to get the order to start the manufacturing. So this is like the way equipment works. And we've been building equipment in anticipation of stronger deliveries in Q4. And that has definitely had an impact on our on our inventory. But I want to say as well, that this inventory that we're building is standard equipment. So this is what we sell to India, to Russia, to Middle East. And yes, we are expecting to -- that we're building based on our expectation to be selling equipment to Middle East in Q4, and Q1. But it is -- we're still in negotiation. And this is a bit early to share more precise news at this point in time. Although I did mention that we're having encouraging conversation. So that's the one on the on the equipment. Now, I did mention that we're at the low point. You've seen the clients have said that they're reducing their CapEx of 30%. And basically what I'm saying is that, that's where we are and then I do expect that we'll be staying are in that environment, probably, first half, if not the whole year in 2021, which means that going into Q1 we'll see a Q1 rebase to that new environment compared to the Q1 last year. So we are that -- we sort of rebased at a low point. And I do expect we'll see a similar environment in the next few quarters. Keep in mind when you look at the margins that it is highly dependent on the mix between the three businesses. We've got three businesses that have very different EBITDA margins in between the multi-client, very high EBITDA margin that you saw in somewhere in the middle, and an equipment with lower EBITDA margins. So that aggregate EBITDA will highly depend on the mix. I hope that answer your question. But I do definitely see that. We're at that $200 million level for the quarter. I do not expect moving forward that will get lower. I mean, significantly lower from that number and that we should be seeing improvements. But again, the margin will depend on the mix.
Kevin Roger: Okay. Understand. Thanks for that.
Operator: Okay. Thank you. [Operator Instructions] Your next question comes from the line of Christopher Mollerlokken from Carnegie. Please ask your questions.
Christopher Mollerlokken: Yes, good morning. This is Christopher Mollerlokken from Carnegie. Regarding the equipment you are building on the balance sheet, are you saying that you're building this on speculation? Are you confident that you will be able to sell this? And if so, what do you expect the working capital development to be in fourth quarter and first quarter next year?
Sophie Zurquiyah-Rousset: Yes. So you know, if I'm -- like I said, we always -- it's not like something new that we're doing now. It has always been the model of the equity business. There's been -- there is a close conversation or discussion between the salespeople and then the manufacturing that drives our manufacturing plants. So if we are building the equipment or increasing our inventories that we have high hopes that we'll be able to sell that equipment. And again, it is standard equipment. So it's not like we're building custom build equipment for a particular client or project. It is standard equipment. So yes, I mean, the answer is that we have high hopes of doing those sales otherwise, we wouldn't be building and spending working cap for that.
Yuri Baidoukov: Regarding to the outlook. Yes. Good morning Christopher. Regarding the outlook or the dynamics of change in working capital. So this quarter one element was the inventory enter cell or the equipment sale . But the other element was also increasing revenue in multi-client, as well. So that was the kind of two main contributing factors to the negative change in working capital. Looking at the fourth quarter, what we expect we -- because the delivery of the equipment most likely will start towards the end of the quarter. That will translate in the increase in accounts receivable. But then, of course, subsequently, there's receivables. And by the way, this will continue -- sales will continuing to be one as well. But of course, it's these receivables will be collected in the first half of next year. And secondly, as Sophie mentioned, we still do hope that there will be so called Christmas after sales on the multi-client side. Of course, the magnitude of them will not be the same as last year. But we do have some early indications from some of the customers that they didn't spend even they reduced the budget so far. So and they will need data to fit into their geoscience teams. So with that, they will get the same phenomena on the multi-client side as well, where basically multi-client receivables will go up as well. So hence, there will be also negative change in working capital. But of course again, this will be collected in the first quarter of 2017. I hope, we answered your questions.
Christopher Mollerlokken: Yes, thank you. With regards to the non-recurring charges in Q3, could you say how much of that was cash cost? And then the second question would be, can you also provide some guidance for charges going forwards, both for Q4 and then for 2021. And how much of that will be cash?
Yuri Baidoukov: Sure. So the -- when it comes to cash costs in the third quarter, in relation to costs related to exit from acquisition business, what we call CGG 2021 plan, we have $19 million of cash costs this quarter. And in Q4, it will be around $12 million. So with that the total cast costs for the year will stay around $80 million as we kind of guided previously. Now, the results of this new severance costs that we're incurring on the back of reducing our headcounts, and reducing our cash costs. And that amounted to $7 million of cash severance payments in the third quarter. And we anticipate in the range of about $5 million in Q4. So with that, the cash sequence for new severance will be around $15 million overall in 2020. And the remaining $35 million will be paid mainly in the first half of next year. Because we have -- we're continuing basically with our headcount reductions. So that is the sequence.
Christopher Mollerlokken: Thank you.
Yuri Baidoukov: Yes. But of course, those -- this severance --new severance costs will generate significant cash cost savings again, as we discussed during our second quarter call, and we reiterated this in our adaptation plan. We'll be reducing our fixed cash costs by $90 million annually.
Christopher Mollerlokken: Thank you.
Operator: Okay. Thank you. Your next question comes from the line of Philipp Duffner from Aurelius. Please ask your question.
Philipp Duffner: Hi. Good morning. I just had two questions. The first one is on the cash flow statement. It shows a 5.2 repayment of long term debt. I was wondering which debt you repay during the quarter. And then, in the press release, you mentioned, you're making progress towards adjacent fields. Could you talk a bit about like how large the revenue potential for these adjacent fields. Could you talk a bit about like how large revenue potential for these adjacent fields is in the future?
Yuri Baidoukov: Good morning, Philipp. Can you please kind of clarify your first question?
Sophie Zurquiyah-Rousset: 5.2 of repayment of debt. That's just the interest, isn't it?
Yuri Baidoukov: No, actually, the cash -- debt costs were $7 million.
Philipp Duffner: $7 million We did not pay back any debt.
Yuri Baidoukov: So that's the remaining part of the debt which is due to the [Indiscernible]. So Philipp, this $5 or five point something was related to us paying off the remaining creditors that we had the following the exit from bankruptcy and restructuring. And that was done in together with the our application to the Commercial Court of Paris for the exit from the what's called in French [Indiscernible]. So basically, we paid down the remaining creditors who could not convert into equity.
Yuri Baidoukov: Yes. So yes, thank you. Hi, Philipp. And your question on adjacent fields. I've listed the number. And we're in the process of updating our strategy for the next three years cycles. So we did 18 to 21, 18 to 21 was about making the company, repositioning the company to be resilient through the cycle which was timely. And now 21 to 24 will be about growth and looking for those adjacent fields. Now, of course -- my ambition is that those adjacent fields represent a significant portion of our revenue otherwise it is a bit meaningless. It does depend on the client pick up or the market growth itself. We are in the process of analyzing and understanding where a core capability fit. The sweet spot is where we can rely on where we're good at. And a lot of it is around subsurface and equipment and where our clients are going. And our clients are talking about geothermal, carbon sequestration. And so we believe there's a sweet spot where we could do well. And what I my aim would be at a certain horizon that this represents somewhere around 20% of the revenue stream of CGG. If you'd asked me, how do I achieve that? I don't know yet. That's what we're working on as part of our strategy as a size. However, this is the kind of vision of ambition that we'll give to the team.
Philipp Duffner: That's helpful.
Operator: Thank you. And the next question comes from the line of the Sahar Islam from Goldman Sachs. Please ask your question.
Sahar Islam: Good morning. Thank you for taking my questions. The first one I had was on the land equipment tendering pipeline, and as much visibility as you can give please into 2021. Whether there are any more mega crews coming up? And then secondly, on the refinancing, do you mind reminding us when you can refinance next year. And what you'd need to see for market conditions in terms of COVID, or just general market volatility for you to be able to execute that refi, please?
Sophie Zurquiyah-Rousset: Hi, Sahar. Good morning. So on the land equipment, it's a bit early across the board to give you 2021 visibility, because we're just starting our budgeting process. But what I could say is I do think that on that land side, we've reached a low point. This is typically -- equipment is the CapEx of geophysical contractors that react immediately to the difficult market condition. And so, I think that's what we've seen in 2021.
Yuri Baidoukov: In 2023.
Yuri Baidoukov: In 2023. So generally speaking, I would expect that we see some improvement on the land side of the equipment. The Marine, I think, will be very similar at the at the low level. Now, in terms of visibility, it's Saudi, I mentioned, two 3D crews have been awarded. There will be one more awarded that spending. There's Algeria as well has one large 3D crew. Actually, interestingly, Algeria has been quite busy. As a recently a bit countercyclically. And then Russia, India are still active. So I'd say, low point on land equipment in 2020. Improvement, I don't know how much. But there is activity coming from NOCs.
Yuri Baidoukov: Good morning, Sahar. Regarding your second question. And I already mentioned that yes, we are working on preparing ourselves for potential refinancing as early as March next year. But that being said, of course, fortunately, we're in a position where we don't have to jump into that market, because the first maturity of our first lien bonds is in April of 2023. That being said, of course, the second lien bonds, which again, are the legacy of exiting from bankruptcy and restructuring are expensive with 8.5% peak component. And naturally, again, and this refinancing exercise we'll be looking at the wholesale refinancing of the first and the second lien bonds. So we are ensuring that we're ready from the kind of technical perspective that everything is on the shelf, and that would open the first technical window in March of next year. But of course, as you rightfully pointed out, it will depend on the market conditions. And if market conditions will be favorable, we'll kind of jump into this window. But equally, if they're not there, we can wait. So and we will. So basically that that is our strategy. I hope I answered your question, Sahar.
Sahar Islam: Very clear. Thank you.
Operator: Thank you. The next question comes from the line of Christopher Mollerlokken. Please ask your question.
Christopher Mollerlokken: Yes. Thank you. Just a follow up regarding 2021 multi-client investments. Would you care to give any indication for that level for next year?
Sophie Zurquiyah-Rousset: Hi, Christopher, again. I could give you sort of directional views, certainly not numbers yet. But if you look at how our multi-client CapEx is composed of. There is always that land side of multi-client. CapEx. Then there is the marine side or the streamer side and then the nodes as we started to invest and of course the reprocessing, but those are smaller amounts. So I'd say, generally speaking, the land as it is today, we're not seeing very interesting projects. We have a pipeline as always, for all the projects. But I would expect that certainly reduced investment on the land side. And probably somewhat similar on the marine side. The node is a question. It really depends on the projects that are presented during the budgeting cycle that is coming up. Those are typically more difficult to prove because the CapEx is more expensive. So the economists aren't always as interesting as the streamer surveys. So that's generally speaking, I'd say less than the land U.S. side, because this is not such an active market right now.
Yuri Baidoukov: And as to what Sophie said that, of course, this year, as you might recall, we did enter into the year with a strong portfolio of ongoing well funded projects. And that's why although we reduced our CapEx versus original guidance significantly, in fact from overall $300 million to about $225 million. So the next year, we definitely have much more flexibility. We'll continue to with our project in Brazil. We're also looking at continuing our North Viking Grabe project next summer in Norway. And with all that, again directionally as Sophie said, our CapEx will be lower definitely then this year.
Christopher Mollerlokken: Thank you.
Operator: Thank you. There are no further question at this time. Please continue.
Yuri Baidoukov: Okay. Thank you. Now, I hand the floor to Sophie for the conclusion. Thank you.
Sophie Zurquiyah-Rousset: Yes. Thank you everyone for attending this call. I know you all want to know by 2021. But I think we'll have an opportunity to give you more information after we get through our budgeting cycle. Thank you again for attending your great questions, and we'll be in touch.
Yuri Baidoukov: Thank you. Bye-bye.
Sophie Zurquiyah-Rousset: Bye.
Operator: Thank you, everyone. That does conclude our conference for today. Thank you all for participating. You may all disconnect.